Operator: Good morning, and welcome to United Community Banks' Second Quarter 2019 Earnings Call. Hosting our call today are Chairman and Chief Executive Officer, Lynn Harton; Chief Financial Officer, Jefferson Harralson; Chief Banking Officer, Rich Bradshaw and Chief Risk Officer, Rob Edwards. United's presentation today includes references to operating earnings, pretax, pre-credit earnings and other non-GAAP financial information. For these non-GAAP financial measures, United has provided a reconciliation to the corresponding GAAP financial measure in the Financial Highlights section of the Earnings Release, as well as at the end of the investor presentation. And both of these are included on the website at ucbi.com. Copies of the second quarter's earnings release and investor presentation were filed last night on Form 8-K with the SEC, and a replay of this call will be available in the Investor Relations section of the Company's website at ucbi.com. Please be aware that during this call, forward-looking statements may be made by representatives of United. Any forward-looking statements should be considered in light of risks and uncertainties described on Page 4 of the Company's 2018 Form 10-K, as well as other information provided by the Company in its filings with the SEC, and included on its website. At this time, I'll turn the call over to Lynn Harton.
Lynn Harton: Good morning, and thank you all for joining our call. We appreciate your interest in United and we look forward to our conversation today. Our second quarter results represent a continuation of great execution by our teams across the Company. We raised an operating return on assets of 150 basis points, the best in our history. Our operating EPS was $0.59, an increase of 11% year-over-year. Our net interest margin increased slightly quarter over quarter, both loan and deposit growth were on target with expectations. And our First Madison partnership continues to be on track. Our markets continue to perform well economically. And our credit results reflect that sound economic foundation. Here in Greenville, we sit in the middle of some important international supply chains. And so, we are aware of the uncertainty that global growth and trade frictions can have on local companies' decisions to invest for the future. It's unclear today how those uncertainties will develop. However, we believe that we have positioned the Company to be able to perform well in any normal economic cycle. Over the past several years, we have entered into several new business lines to diversify our revenue sources, and leverage our strong brand and local relationships. We have grown historically strong lines of business and expanded our footprint and brand into several new fast-growing markets. These initiatives have enabled us to exit less profitable areas like, purchased indirect auto lines and improve the strength of both our core earnings and our balance sheet. We are a much stronger and more profitable organization and one less dependent on traditional community bank lending alone. We have continued to enhance our credit culture through process improvements, improved talent, and disciplined concentration management by product type, relationship size, and geography. Our funding base continues to be one of the strongest in the south, as our service-based culture continues to deliver high quality core deposit growth, giving us ample liquidity and low-cost funding. We've continued to keep pace in technology investments, both in digital solutions for our customers, and operational improvements for our employees. But most importantly, we have maintained our focus on the fact that this is a people business. We have an outstanding team that works together to produce great results. We're also able to attract great bankers to join our team. And they are drawn in large part to the same attributes their customers value in us. We're small enough to individual's matter, large enough to have the products and services to compete and forward thinking enough to have a promising future. We're excited about the path that we're on. And we appreciate you being here with us. So, Jefferson, why don't you give us more details on the results for the quarter.
Jefferson Harralson: Sure, Lynn. Thank you. I'll begin on Page 6 to discuss our net interest income and margin trends. Our net interest income increased 7.4% annualized versus last quarter, and increased 9% year-over-year. Spread income growth did benefit from two months of First Madison and the numbers. Our net interest margin increased by two basis points to 4.12% in the quarter of which, one basis point came from slightly higher accretable yield versus last quarter. Last quarter I mentioned on the call that about 3 basis points of first quarter accretable yield would not repeat, in the second quarter, these 3 basis points in fact did not repeat, but was replaced with some of the initial accretion from First Madison. Turning to Page 7, we take a look at our deposit base. We are very proud of our core deposit base for the 33% contribution from demand deposits. Our cost of deposits were only up 3 basis points versus last quarter and continued to be well ahead of our peers in deposit cost. On Page 8, we are also pleased with the growth in our core transaction deposits so far this year. Core transaction deposits were up 8% annualized year to date, with $302 million of growth, which more than fully funded all of our loan growth this year. On Page 9, you can see our loan portfolio breakout which is very diversified. We were pleased to grow loans excluding First Madison and indirect auto loans at a 9% annualized pace versus last quarter. On Page 10, we look at non-interest income, which was up $3.5 million versus last quarter and up $1.2 million versus last year. We experienced good growth in fees across the board with a record mortgage production quarter and higher SBA brokerage and other fees as well. Expenses on Page 11, we're in line with or slightly better than our expectations. Our increase in expenses came mainly from merit increases in higher mortgage commissions. Our operating efficiency ratio came in at 54.4%, which is a new low for our Company. Credit quality on page 12 was stable, with improved net charge off versus last quarter. We recorded a $3.2 million provision that more than covered the $2.4 million in net charge offs. Our reserve percentage did decline to 70 basis points with the addition of the First Madison loan book. I'll finish up on Page 13 with capital. Our risk-based capital ratios came in as expected with the all cash First Madison deal, while our leverage ratio and TCE ratio saw slight improvement as we continue to shrink our securities book, which offsets the impact of the deal. We had no buybacks in the quarter, and we will look to be opportunistic, with the $42 million remaining on our authorization. And with that Lynn, I'll pass it back to you.
Lynn Harton: Thanks, Jefferson. We are pleased with these results. And I'd like to close my comments by once again recognizing and thanking the United team. It takes great people to deliver great performance. For those of you that are listening in, I'm proud to work alongside of each one of you. And I thank you all for what you do every day. And now we'll be glad to answer any questions that you might have.
Operator: Thank you. [Operator Instructions] And our first question comes from Catherine Mealor from KBW. Your line is open.
Catherine Mealor: Thanks, good morning.
Lynn Harton: Good morning.
Jefferson Harralson: Good morning.
Catherine Mealor: Really great quarter. And I have to start with the margin. You've seen some really nice margin expansion and a lot of it's been from mix shift but also your asset sensitivity. So just wanted to get an update on how you're thinking about your margin outlook if the Fed does cut later this month or again this year?
Jefferson Harralson: All right. Thanks, Catherine. If we get a rate cut, we do have 53% of our loans that are floating; of that 62% are tied to Libor or $2.9 billion, 38% of those are tied to Prime which is $1.5 billion. So, you have had some of the impact on our Libor loans already, and then you'll get a more full impact on Libor and Prime with a cut. I think that the margin, think of it because we'll still have some positive mix change occurring, we still have flexibility with the -- with our lower loan to deposit ratio, but I think of it as down -- rate cut down 7 basis points to 10 basis points on our margin, offset by some 2 basis points to 3 basis points of continued mixed benefit over time each quarter.
Catherine Mealor: So that 7 bps to 10 bps per quarter per cut?
Jefferson Harralson: That's right.
Catherine Mealor: Okay, got it. And then how -- you mentioned you want a deposit ratio, I mean how aggressive do you feel like you could get on lowering deposit costs, and then bringing that loan to deposit ratio higher to win the side cuts?
Lynn Harton: All right, so on this part of that question, I might ask you to redo that. I do want to say that when you mentioned 7 basis points to 10 basis points per quarter for each cut, I would make sure you do the offset each quarter for the remix as it continues to occur.
Catherine Mealor: Yes, yes. It's 7 basis points to 10 basis points on a core basis offset by the mix. So, you're kind of like 5 bps per cut roughly.
Lynn Harton: That's right.
Catherine Mealor: Okay. Okay, that makes sense. And then my other question was, how aggressive you think, you could be on bringing your loan to deposit ratio higher as you push deposit costs, as you push deposit costs down in a rate cut?
Lynn Harton: Right. So, we do have a nice loan to deposit ratio. We do have a great core deposit base. We have customers, we want to -- we do want to grow our customers. We can be a little more conservative, we already have lowered our CD rates, we have seen some other competitors do that as well. We have lowered some other rates. And we're going to take another look at deposit rates if we do get a cut on the 31st. So, we do go to be, I guess, I'll use the description aggressive in our deposit rate cuts. So, we think, we do have the flexibility to do that. And we're not looking to shrink our deposit base, we're still looking to grow our deposit base. But we think we do have flexibility with the loan to deposit ratio and do plan to be relatively aggressive in cutting pricing on some deposit types.
Catherine Mealor: Okay. That's great. I think maybe one other one on just growth. The growth is fantastic this quarter, any update on the back half of this year? And how much of that you think will come from your core businesses versus the new business growth?
Lynn Harton: All right. Rich, do you want to start with that or I can jump on that too?
Richard Bradshaw: You want me to start on how we feel about Q3?
Lynn Harton: Sure.
Richard Bradshaw: So, Catherine, good morning.
Catherine Mealor: Good morning.
Richard Bradshaw: Our bank delivered another strong production quarter pipelines for loans and bankers looks good for Q3. However, we have seen lower payoffs in Q1 and Q2 and anticipate more normalized payoffs in Q3. But expect to still be at mid-single-digit growth for the quarter.
Catherine Mealor: Okay. Great. And how -- and do you think the percentage of Navitas versus kind of your core bank should stay about where it is or do you see that mix shift changing overtime?
Lynn Harton: Thanks. So, we are around 7.5% of our loans, being in Navitas loans currently. They have been a good source of growth for us. The -- we're very happy and pleased what that deal is. Now we have imposed a limit of having Navitas loans to total loans of being around 10%. I think we mentioned last quarter that we are planning on in the third quarter to begin selling the Navitas loans. So, I think that you're going to see the because of the selling of certain of these loans, you're going to see the percentage of growth coming from Navitas decline. And you're going to see the percentage of Navitas loans to total loans, stay more stable and less than the 10% limit.
Catherine Mealor: Great. Great. Awesome. Thank you so much. I’ll hope back.
Lynn Harton: Thanks.
Operator: Thank you. Our next question comes from Brad Milsaps from Sandler O'Neill. Your line is open.
Peter Ruiz: Hey, good morning. This is actually Peter Ruiz on for Brad.
Lynn Harton: Hello, Peter.
Peter Ruiz: Hello. So maybe just following up on the NIM. Could you maybe give a little bit of color on maybe the specific impact from Navitas just on the loan yield side with each rate cut and what that is going to look like?
Lynn Harton: So, the, I would not expect from the loan yield side a big move from Navitas loans. They are longer term in nature when they are made. So, I would not expect as a client Navitas loans, as rates decline. There is some pricing competition in the business, but from the rate cut itself, I don't expect a lot of change there.
Peter Ruiz: Got it. Got it. Okay. And maybe just on expenses. You guys maybe came in just below your previous guidance for this quarter. But what are you kind of expecting here as we go into the back half, with First Madison, kind of integrated and what type the runway it looks like going forward?
Lynn Harton: Thanks for the question there. So, on Navitas or on the expenses, we do have a full quarter of First Madison to come in. We have core growth. And we've also had some relatively significant hires over the last quarter. And we expect more of those to occur. So, if you combine the three of those, I think the -- put a number out there of maybe 79.5 [ph] for Q3. And then more of a core, low single digit growth rate off of there.
Peter Ruiz: Got it. Makes sense. Thanks so much.
Operator: Thank you. Our next question comes from Tyler Stafford from Stephens. Your line is open.
Tyler Stafford: Hey, good morning, guys.
Lynn Harton: Good morning.
Tyler Stafford: Hey, I just wanted to start on fee income. And congrats on the nice quarter, by the way. But on fee income, can you just give us the mortgage production that you saw this quarter? And then the SBA production you saw this quarter?
Lynn Harton: Yes. So, the mortgage production in the form of applications was $410 million. And the SBA production in terms of originations was $31 million.
Tyler Stafford: Got it. Okay, thanks. I guess one for me just on Navitas. And obviously, credit hasn't started to percolate on for at least from what we can tell there. On that portfolio, I'm just curious if you're starting to see any signs of a weakening specifically on that in Navitas portfolio or if everything is still pretty clean.
Robert Edwards: Yeah. So, this is Rob Edwards. Hey, Tyler. I would say we have not seen really any change. Really our first quarter of owning Navitas was Q1 of ‘18. And it's -- now it does the losses do change from quarter to quarter. But it's been right in line with our expectations. In fact, on the loss side, it's been, I would say a little bit better than expectations here recently. And then we do, they do have a fairly robust portfolio management process where they're refreshing, external scores on the portfolio on a monthly basis. And those continue to look very consistent as well.
Tyler Stafford: Good. Okay. And then just lastly for me. The sneak balances that you guys provided in the deck, they declined, call it 25% from last quarter. I'm just wondering, I guess what drove that decline if it was more of an intentional exit based on kind of what you're seeing on those underlying credits or if that was just normal pay down activity that took those balances down? And if there are any more kind of planned exits over the near term?
Robert Edwards: So, I wouldn't define it as planned exits. But I would just say we have been saying that we're sort of lukewarm, maybe I should say, cool in the leverage loan portfolio. A lot of that portfolio is done through the shared National Credit Avenue [ph]. And so, I would just say I think we're comfortable where we are there when we're in sneaks, generally they are with local companies where we're close to and know the management team. And so that's the majority of what that book is. And I would expect it to be stable, but not see a lot of growth there.
Tyler Stafford: Okay. And maybe just last one for me just going back to Navitas. Do you have what the average yields were this quarter.
Robert Edwards: Let’s see what I -- I do not. They're relatively stable, but I'll get back to you.
Tyler Stafford: Okay. Okay. Great. Nice quarter, guys. Thanks.
Lynn Harton: Thanks.
Operator: Thank you. Our next question comes from Jennifer Demba from SunTrust. Your line is open.
Jennifer Demba: Good morning.
Lynn Harton: Good morning.
Jennifer Demba: Question, wondering if you can give us an update on your Atlanta progress, specifically with new hires or loan production. And maybe talk about any other hires that you'd want to highlight across the other markets? Thanks a lot.
Lynn Harton: Yeah. Sure. Rich?
Richard Bradshaw: Hi Jennifer. In Atlanta in Q2, we hired a new Market President in Buckhead, Sharon Thompson, who has brought on another lender in Q2 and another lender just started this past Monday. I will tell you that we are looking at additional hiring there and feel very good about that. And in addition, I wanted to highlight Charlotte, we opened up the community banking market there with a new Market President Charlie Curtis and he has brought on additional commercial lender. And this is adding to our Charlotte presence of asset-based lending builder, finance, SBA, renewable energy and mortgage. And then lastly, in Columbia, South Carolina, we executed our lift out late in June. The new Market President is Shannon Stephens and he brought two commercial lenders with him.
Jennifer Demba: Thanks so much.
Operator: Thank you. And our next question comes from Christopher Marinac from Janney Montgomery. Your line is open.
Christopher Marinac: Thanks, good morning. Wanted to delve into credit a little bit more with rates on the specialty C&I front. And just get a sense of, behind the numbers that we saw, which are very good this quarter. Any other trends that you see both inside your portfolio as well as sort of your loans that you see as opportunities for the future and just in terms of general trends on credit?
Robert Edwards: So, Christopher. Hey, this is Rob. Maybe I'll answer the first part of that question just in terms of credit trends. And then if Rich wants to chime in on opportunities on the C&I side in the future, that'd be fine as well. I would say, economically speaking, it just feels like there's a lot of mixed signals out there on the manufacturing side. Of course, the export piece that Lynn mentioned in his opening remarks as well, we're paying close attention to. And so, we're aware of that and we're watching the portfolio closely. We do have, I would say relatively conservative project limits at $20 million and relationship hold limits at $35 million. So, we don't it's a fairly conservative portfolio from that aspect. When we look at -- when we look at our criticize and classified, we're basically flat year over year. So, there will be some ups and downs, quarter to quarter, but we feel good about where we are.
Richard Bradshaw: Chris this is Rich. In terms of C&I, we still are very positive on that asset class and putting a lot of effort and a lot of our hiring is very focused on that.
Christopher Marinac: Okay, great. And then I guess it's just follow-up for either you Rob or others is that there's a scarcity of banks now in North Carolina. And I'm curious, does that help you on the conversation as United is coming into these markets? And, ramping up with your production team and of course continue to hire as you outlined? Is that sort of scarcity of competition incrementally helping you?
Robert Edwards: I would say the answer is yes. In the last -- as you all are aware in the last two years, there's been a lot of M&A activity in North Carolina and that it always creates opportunity to both the customer and the banking level. And, we're probably seeing that same thing in Atlanta as well.
Christopher Marinac: Great, thanks very much, guys. Appreciate the color.
Richard Bradshaw: Sure, Chris.
Operator: Thank you. And our next question comes from Michael Rose from Raymond James. Your line is open.
Michael Rose: Hey guys. Just wanted to get some color on deposits. It was nice to see brokered come down. I know some of the trends are skewed by the deal. But if you can just give us an update on some of your deposit efforts and if you think that we're at or near peak for costs? Thanks.
Jefferson Harralson: I'll get the start. This is Jefferson on the deposit growth. A lot of it has just been blocking and tackling, the new hires and the new markets and the efforts of the last few years. We have been very pleased with that. We have our deposit pricing in the middle of peers right now and our growth rate has been very strong. On the brokerage side that has been an intentional decision to shrink brokered and FHLB and offset that with securities shrinkage that's been a strategy. I do think that Q3 we have -- we have rewards on deposit pricing, but we also have probably three or four months of CDs repricing higher. So, I think the net of that is going to be a cost of funds that right around here or maybe 1 basis point or 2 basis points higher next year then improved for the fourth quarter. So, I think right at the apex of deposit pricing and Q3.
Michael Rose: Okay, that's helpful. And then just one separate question for me on capital, obviously was down a little bit because of the deal, but still very healthy. How do you guys think about the buyback at this point?
Jefferson Harralson: Right. So, if you think about capital for us; number one, we want to use it for growth. We have been -- we have had higher growth recently. So, we think that that use is increasing. Deals, we like to use it in deals that's number two use of capital for us and we like to use cash and deals when we can. Two years ago, we were able to put $84 million of cash into the Navitas deal, and were able to $53 million of cash in the First Madison deal, which has helped. We do have some optimism on our pipeline that we will be able to use cash and deals overtime as well. And then maybe third is buyback. So, we are going to be managers of our capital, we do have $42 million of authorization left. So, depending on the first two, we would like to be optimistic and perhaps aggressive on the buyback.
Michael Rose: Okay. That's helpful. And then actually just one more for me. Just as it relates to Cecil, any sort of update there and as we go through it. Any thoughts around potentially changing, any portion of the loan mix just given some of the longer data consumer stuff is heard a little bit more through that process? Thanks.
Robert Edwards: So, Michael, this is Rob. I would just say we're on track for Cecil. We've run our models against the portfolio two quarters in a row now and are increasingly confident with the modeling and the results of those and looking forward to continuing to build the robustness there of that process. And I would say the answer to your second question is that we have not yet really made any decisions around remix based on Cecil results.
Michael Rose: Okay. Thanks for taking my questions.
Operator: Thank you. And I am showing no further questions from our phone lines. And I'd like to turn the conference back over to Lynn Harton for any closing remarks.
Lynn Harton: Well, great. And thank you all for being on the call and for the questions. Great questions and we are very excited about where we are and look forward to seeing you next quarter. So have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone, have a wonderful day.